Unknown Executive: Welcome to the Westgold Resources First Half '26 Financial Results Presentation. Our presenter today is Westgold Managing Director and CEO, Wayne Bramwell. Go ahead, Wayne.
Wayne Bramwell: Thank you, Steve, and welcome to everyone on the call. Thank you for taking the time to dial in today. With me today, I have our Chief Financial Officer, Tommy Heng. We are assuming you've all seen our report. I'm going to hand over to Tommy to run today's call, and I'll jump in at the end to talk to what's ahead before opening up the call for questions. So, Tommy, over to you.
Su Heng: Thanks, Wayne. It's fair to say that this was a record half. But before I go through the numbers, I think it's important to reflect on the journey that has brought us to this point. Our outcomes this half aren't accidental. They stem from years of disciplined effort. We worked through the tough times, stayed focused and made deliberate long-term decisions about how and where to invest in this business. We committed early to becoming unhedged, strengthening Westgold's infrastructure, investing in drilling and development and upgrading our equipment base. And that strategy has been validated by increasingly consistent operational performance across the group. And whilst we have substantial room to improve, what we're seeing now is the direct result of executing that strategy, progressive improvements in operational consistency, production growth and a relentless internal focus on managing and reducing cost pressures. Importantly, all of this work has been delivered at a time when the gold price environment is becoming increasingly favorable. As an unhedged producer, we've been fully exposed to those strong prices, giving us the ability to convert this operational momentum directly into financial returns to shareholders. Thanks to this increasing production and the realized gold prices, our revenues effectively doubled compared to this time last year, allowing us to deliver $550 million in underlying treasury build, a remarkable step up from the $100 million recorded in the prior corresponding period. This momentum has strengthened our balance sheet substantially, driving our closing treasury balance to $654 million compared to $152 million in H1 FY '25. Our operating performance translated directly into earnings with underlying EBITDA rising to $612 million, up from $224 million and the underlying net profit before tax increasing to $447 million, a significant uplift from $89 million a year earlier. This accumulated in underlying net profit after tax of $314 million, more than 5x the previous corresponding periods $57 million. Overall, H1 FY '26 marks an exceptional financial performance and demonstrates the capability of the business to generate sustained value. Slide 5. Not surprisingly, our record financial results coincide with record production results. Production from Westgold's mined ore amounted to 170,000 kilo ounces of gold for the half at an all-in sustaining cost of $2,871 per ounce. This production is a core business, which generated $517 million in net cash flow. From core business to side hustle, Westgold commenced production from ore purchased from New Murchison in September 2025. Over the half, we produced 25,000 of gold at an all-in sustaining cost of $5,644 per ounce. These are comparatively low-margin ounces as we purchased this gold at a discount to the average spot price, yet this strategy has generated an additional $15 million of net cash flow for the period. The key point about the OPA that is not captured in these numbers is that the OPA ore does not displace our own ore. In fact, the opposite is true. The blending of soft oxide material from the OPA with Westgold mine hard underground ore actually allows us to process increased volumes of our own ore, effectively increasing the throughput of our Meekatharra mill and dropping unit processing costs. So combined, Westgold's group production for the half was 195,000 kilo ounces of gold at an all-in sustaining cost of $3,225 per ounce, allowing us to generate $532 million of net cash flows from operations. Slide 6. This slide breaks down our P&L and the record underlying profit we were able to deliver this half. $1.2 billion in revenue drove a gross profit of $436 million. Fair value appreciation in some of our liquid investments were offset by admin costs and the negative impact of fair value movements in our royalty agreements, resulting in an underlying net profit before tax of $447 million. Unsurprisingly, when you're making profits, you pay taxes. Westgold's income tax expense was $133 million for the half. This accumulates in an underlying profit of $314 million. To reconcile to statutory profit, we need to account for one-off items, the most impactful of which is the accounting loss on the sale of the Mt Henry-Selene project. Though the sale hadn't completed by the end of this period, the accounting standard dictates the assets are moved to assets held for sale, resulting in a preliminary loss of $178 million. This one-off accounting loss on sale is 100% noncash, but it's important to note that the sale generated immediate real cash inflows of $15 million and approximately $65 million in Alicanto shares and up to $30 million in deferred considerations payable in cash or shares upon the achievement of agreed project milestone. This demonstrates our ability to generate value from noncore assets that would have otherwise remained unrealized within our portfolio. The loss results in a positive adjustment to the income tax expense to the tune of $53 million, resulting in a strong statutory profit of $191 million. This compares very favorably to the statutory loss of $28 million for the prior corresponding period. Slide 7. Key slide for me, $550 million in underlying treasury build for the half before paying $129 million for growth and exploration, $76 million in stamp duty for the Karora transaction, $50 million in debt repayment to end the period debt-free, $29 million for dividends and share buybacks, $2 million in New Murchison capital raise and receiving $26 million of cash inflows from the sale of the Lakewood mill and the deposit from Alicanto for the Mt Henry-Selene sale. We ended the period with $521 million of cash and an impressive $654 million in treasury closing balance. After paying for growth and one-off payments, our treasury still grew by $290 million in the half. Slide 8. This slide shows our treasury growth over the longer period. Since the acquisition of Karora, cash is king, and we're happy to see our strategy is increasing cash flows and further strengthening our balance sheet. This balance sheet strength gives us flexibility and optionality as we build momentum post our merger with a steadfast focus on delivering our guidance and 3-year outlook. Slide 9. To that end, we maintain our production and cost guidance for FY '26. We maintain a conservative estimate for third-party ore purchases going forward as we don't control mining for this ore source. We expect to produce around $365 million for the period being the guidance midpoint at an all-in sustaining cost between $2,600 and $2,900, excluding the OPA. Slide 10. Let me quickly recap our 3-year outlook. We're on a clear path to grow production from 326,000 ounces in FY '25 to 470,000 ounces by FY '28 with the all-in sustaining cost stepping down towards circa $2,500 per ounce. This is a high confidence executable plan built on organic growth from our existing operations, not blue-sky assumptions. The strategy is simple: mine and process higher-grade ore and optimize the mills. By investing sensibly in our mines and processing hubs, we're steadily upgrading the grade profile and matching capacity with better quality feed, lifting ore sources and margin. And importantly, we're delivering against this plan. Beta Hunt infrastructure upgrades have lifted development rates, setting up a sustainable ramp-up towards 2 million tonnes per annum. Great Fingall filed its first reef stope, a key milestone in the Cue Hub's high-grade transition. Starlight continues to deliver strong high-grade stopes, improving feed quality through Fortnum. This is real progress and exactly the trajectory our 3-year outlook sets up. Slide 11. Now while the 3-year outlook gives us a solid high confidence baseline, it's important to remember that it does not capture all of the upsides we're actively advancing. I won't run through everything on this slide but let me call out a few of the material opportunities already in motion. Bluebird South Junction. Our plan assumes 1.2 million tonnes per annum by FY '28, while we're aiming to hit 1 million to 1.2 million tonnes by early FY '27. Higginsville mill expansion, feasibility work is looking beyond 2.6 million tonnes with options assessed up to 4 million tonnes per annum. Operational improvements. We've made significant gains that aren't baked into the base case and have the potential to drive further cost and productivity benefits. Each of these represent meaningful tangible upside to our 3-year outlook baseline. And collectively, they highlight just how much flexibility and growth optionality sits within the Westgold portfolio. Before I hand over to Wayne to wrap up, I would like to touch on shareholder returns. Westgold continues to deliver on its commitment to shareholder returns. We declared a $0.03 per share final dividend for FY '25. And while we did not declare an interim dividend for H1 FY '26, during the half, we upgraded our dividend policy for FY '26 to demonstrate our growing confidence in the business and commitment to delivering against that policy. In addition, we launched a 5% on-market share buyback program, a clear signal of our belief in the value of our shares and our disciplined approach to capital management. These initiatives are underpinned by strong cash generation and a robust balance sheet, positioning us to continue rewarding shareholders while investing in growth. We paid $28 million for the FY '25 dividend during the half and commenced on the market share buyback. With that, I'll hand over to Wayne.
Wayne Bramwell: Thank you, Tommy. What a gorgeous set of numbers. We made some tremendous progress on our portfolio simplification goals during the half, bringing forward value from noncore and nonproducing assets. After the end of the period, we completed the sale of the Mt Henry-Selene Project to Alicanto Minerals for a total consideration of $110 million, comprising $80 million of immediate value from $15 million in cash and $65 million in Alicanto script and up to $30 million in deferred consideration based on specific performance criteria. This transaction was consistent with our strategy to unlock value from assets that would otherwise remain unrealized within our greater portfolio. We are also making good progress on the planned divestment of Peak Hill and Chalice, which like Mt Henry-Selene, are assets that sit outside of our 3-year plan. We are demerging our noncore Reedy's and Comet assets in the Murchison into a new soon-to-be listed company called Valiant Gold. Like the assets on the previous slide, Reedy's and Comet are assets that for Westgold have value but are under scale and don't feature in our longer-term plans. What makes this different is that their proximity to each other and to our processing hubs lend themselves to become a great value generator under a smaller focused management team where these assets are their top priority. The prospectus for Valiant was released last week, describing the $65 million to $75 million IPO with a $20 million priority offer for eligible Westgold shareholders. Following the raise, Westgold will retain a 44% to 48% cornerstone equity position in Valiant. As part of the transaction, we are entering into an OPA with Valiant, providing them with a fast-track pathway to cash flow. I think of this as an analog to the deal we've recently done with New Murchison Gold. If you would like more information on the Valiant IPO, I encourage you to obtain a copy of the prospectus from the Valiant Gold website. Okay. Final slide for me. This is a great set of results, and I'm incredibly proud of what the team has delivered. Our strategy is working and the early outcomes are clear. But we're not in celebration mode here. There is still plenty of work ahead of us. Our focus remains exactly where it needs to be on safety, on delivering our full year guidance and on executing the 3-year outlook, which sets the minimum bar for what this business can and should achieve as we continue to live performance. With that, let's move straight to questions.
Unknown Executive: Your first question comes from Adam Baker. What is the reasoning behind not paying a dividend for H1 FY '26, noting minimum dividend policy of $0.02 per year and a maximum of 30% of free cash flow. To you, Tommy. Thank you.
Su Heng: Thank you, Adam, for the questions. Our reason for reasoning is we would like to pay a fully franked dividend, such as the timing of when our tax returns are launched, the franking credits will only materialize circa in the second half. So hence, that's why we want to pay a fully franked dividend and stay tuned.
Unknown Executive: Next question comes from Hugo. Should we still expect Fletcher reserve and resource updates in the coming months?
Wayne Bramwell: Thanks, Hugo. Certainly, we're continuing to drill Fletcher, so I would expect a resource uplift this year and a small reserve conversion. We're basically doing both. We're doing infill and extensional and that will feed into resource and reserve updates.
Unknown Executive: Next question also from Hugo. Can you provide some color on the timing of integrating recent ore purchase agreements and the impacts to FY '26 production and cost guidance?
Wayne Bramwell: Thanks again, Hugo. Certainly, the NMG ore purchase agreement was factored into our FY '26 guidance. Going forward, '27, '28, none of the other ore purchase agreements that we have in place, for instance, with Valiant have been factored in.
Unknown Executive: Next question comes from Kevin. How far above nameplate could you run Higginsville mill given the blending of soft Forrestania resource?
Wayne Bramwell: Thanks, Kevin. Even with us feeding our own sort of softer oxide from Lake Cowen late last year, I mean, on face value, that Higginsville mill has a 1.6 million tonne per annum throughput. There were days where there was a high blend of soft in it doing 1.7, 1.75. So we'd expect to see similar numbers with Forrestania.
Unknown Executive: Stay with us while we go through some other questions. Next question comes from Ganesh. When does the mill expansion at Higginsville proceed? What is the grams per tonne from Beta Hunt and Great Fingall you are targeting?
Wayne Bramwell: Thanks for that, Ganesh. Expansion of Higginsville, the proposal to do that is with the Board now. Your second question is? Okay. The number that we use in our mine plan for Beta Hunt is circa 2.4 grams. It often does better than that, but we forecast and schedule Beta Hunt conservatively. The same is true with Great Fingall. We at steady run rate. Great Fingall, we schedule at 4 grams, but our expectation is in that ore body with high components of gravity gold, we'd see numbers much higher than 4.
Unknown Executive: Next question comes from Paul. Wayne and team, you moved a few deposits from exploration into development, including Larkin and A Zone. How quickly could you bring these into development?
Wayne Bramwell: Good question. We are actually mining in the A Zone. So currently, West Beta Hunt, we mined A Zone and Western Flanks. And we do actually have stopes in Larkin. So really, what we see as the opportunities in terms of scale at Beta Hunt, Western Flanks, A Zone, Fletcher, Murchison, Larkin, these are all things which were either drilling or actually mining from. So yes, Beta Hunt, much bigger system than we would expect.
Unknown Executive: Another question from Paul. With the ore purchases, why have you not upgraded guidance?
Wayne Bramwell: I think I answered that one. We basically -- the existing FY '26 guidance has already got the NMG ore purchases baked in. But until Valiant actually starts to deliver, we'll be conservative. We won't build any of that in until Valiant starts to produce.
Unknown Executive: We have no further questions at this time. I think I'll give it to you, Wayne, to close off.
Wayne Bramwell: Look, thanks, everyone, for patching in today. And I think the main issue Tommy explained well was that in terms of why no half year dividend, really, it's the fact that we're in the process of building our franking credits. From an investor's perspective, and I'm one as well, I much prefer fully franked dividends than unfranked, and that's really the focus going out to the full year.